Operator: Good morning, everyone and welcome to the Pool Corporation Third Quarter 2024 Conference Call. All participants will be in a listen-only mode. [Operator Instructions] Please note that today’s event is being recorded. At this time, I would now like to turn the floor over to Melanie Hart, Vice President and Chief Financial Officer. Please go ahead.
Melanie Hart: Thank you, and welcome to our third quarter 2024 earnings conference call. Our discussion, comments and responses to questions today may include forward-looking statements, including management's outlook for 2024 and future periods. Actual results may differ materially from those discussed today. Information regarding the factors and variables that could cause actual results to differ from projected results are discussed in our 10-K. In addition, we may make references to non-GAAP financial measures in our comments. A description and reconciliation of our non-GAAP financial measures included in our press release are posted to our corporate website in the Investor Relations section. Once again, we have included a brief presentation on our investor website to summarize key points for our press release and call comments. Unless otherwise stated within our prepared remarks all comparisons refer to third quarter 2024 versus third quarter of 2023 We will begin today’s call with comments from Peter Arvan, our President and CEO.
Peter Arvan: Thank you, Melanie, and good morning, everyone. Earlier today, we released our third quarter results highlighting solid performance in our maintenance related sales and continued progress on our strategic priorities. Our results reflect our team's coordinated efforts and our exceptional ability to fulfill our customers' needs and deliver an outstanding experience during the critical peak season. With our expanded product offerings, enhanced customer service tools and resources and the ability to quickly deliver through our expansive distribution network, we continue outperforming the market during the dynamic economic conditions our industry has experienced over the past few years. In the third quarter, total sales declined 3% as we saw similar year-over-year trends as last quarter with an extra selling day this year versus last. Our maintenance product offerings generated steady sales growth, while the discretionary portion of our business continued to experience impacts from a hesitant consumer. We see pressure on entry-to mid-level prospective pool buyers, while demand for higher end pools remains resilient. We have made great progress on several of our strategic priorities from network expansion, capacity creation and pricing optimization to growing our private label product sales and increasing adoption of our POOL360 Ecosystem. Moving down the income statement. Gross margins finished in line with prior year signaling progress on our structural margin initiatives especially considering the drag on our product mix from headwinds in new construction and renovation and remodel. Melanie will go into more detail on this in her financial commentary. From a profitability standpoint, we produced operating income of $176.4 million and operating margin of 12.3%. We generated diluted earnings per share of $3.27 including a $0.01 tax benefit from ASU. Looking at sales by geography, we saw sales grow by 1% in Florida with underlying demand holding up well to support Florida's growing installed base. This is the first major market this year to post a positive sales trend, which is very encouraging. Arizona sales were flat, which is also somewhat encouraging from a cyclical standpoint as it was one of the first areas that showed signs of a slowdown back in 2022. If I look only at the Pool business for Arizona, they too had a positive quarter helped by excessive heat, which created headwinds for our Horizon business there. Texas and California sales were down 6% and 3% respectively, reflecting the weak discretionary spending that is impacting our overall business. Texas also experienced excessive rain and cooler temperatures in July that adversely impacted maintenance needs during this key seasonal period. For Horizon, net sales declined 7% in the period compared to the third quarter last year and consistent with what we have seen so far in 2024. Residential construction and remodel remain challenged, while commercial construction is slightly better with demand relatively flat. Similar to the Pool business, the maintenance part of Horizon's business is stronger, although it makes up a much smaller portion of the business comprising approximately 25% of sales. Europe finished the quarter down 1%, much improved sequentially. This area has been challenged with a tough market and weak consumer sentiment since the spring of 2023. Europe's third quarter results reflect the summer season and peak pool usage and will likely be more impacted by a cautious consumer behavior in the fourth quarter due to the uncertain macro environment. Turning to our product categories. Chemical sales increased 2% supported by mid-teens growth in our private label chemical products and overall volume growth of 4% exceeding the increase in the installed base. Chemical pricing has remained relatively stable, which is encouraging given the dynamic market conditions we have seen in the past. Building Material sales showed a 9% decline consistent with last quarter and while reflective of a tougher new construction and remodel environment performed better than projected industry estimates for new pool builds this year. This better than market building material results highlights the power of our over 100 MPT showrooms bringing our unique product offering to the customer with our design tools and the broadest selection of decking tile and pool finish for our customers. Equipment sales, which exclude cleaners increased 1% this quarter, bolstered by a recovery in heaters and solid demand for pumps, lights, electrical products and filters. Some of this product category is non-discretionary in nature. However, items like heaters and lights can be more discretionary and impacted by consumer sentiment. As we have mentioned, aftermarket equipment installations are roughly four to five times that of new construction and combined with price increases that have been realized in the market, these products are holding up well even with lower discretionary spending. In our end markets, our commercial sales increased 7% during the quarter, showing continued strength through the summer travel and community pool season. Sales to our independent retail customers declined 2%. These retail sales represent our wholesale sell in to the retail dealer channel, which ultimately serves the DIY market. The improvement from what we saw in the second quarter reflects the strength of our service, product offering and the value that our retail trained sales support teams provide during the swimming pool season. For Pinch A Penny, our franchisee sales through end customers were flat boosted by a strong store presence in year round markets and a premier customer and product service offering. We continue to make progress on our POOL360 platform initiatives. Orders processed through our B2B POOL360 application, the foundation of our digital ecosystem increased 14.5% of total sales for the quarter. While we are in the early innings of introducing our expanded suite of customer facing tools, we consider this metric to be the most meaningful in measuring our progress at this time. Beginning last year, we introduced POOL360 water test to our independent retail customers and have developed a similar application that is embedded in our POOL360 service software product, which we debuted earlier this year just before the season began. We believe both tools when combined with our incredible footprint, extensive inventory and growing private label brands provide a value proposition that cannot be matched in the industry. As I mentioned, we are early in the game. We continue to add innovative features and provide hyper responsive support for the early adopters to be sure that as we scale, we deliver on our commitments to our customers. During the quarter, we embarked on a journey around the country with our POOL360 roadshow taking the tools and training directly to our customers in key markets by a dedicated POOL360 team. Our employees' enthusiasm and dedication played a crucial role in generating awareness and excitement around our software solutions, showcasing the incredible value they bring to our customers. It's exciting to see our teams connect with so many pool professionals and their positive responses to our innovative new programs and solutions. Our relationships with customers are deep as we have been their trusted supplier for decades in many cases. Combining trust and strong relationships with innovation and pool industry knowledge is enabling us to introduce feature rich software to help our customers grow and improve their capacity while strengthening our ability to grow share into the future. Now, let me update you on our network expansion activities. We opened three new sales centers during the quarter, bringing our year-to-date openings to nine, well on track to achieve our stated goal of 10 openings this year. Our Pinch A Penny franchise network added three new stores, including two in the strategic Texas market, bringing their store openings to 11 so far this year and ending the quarter with a total of 295 franchised stores. Now let me share how we see the remainder of the year shaping up. We would expect fourth quarter sales to be in line with the year-to-date performance. Considering our results through the peak swimming pool season and our fourth quarter outlook, we are maintaining our full-year diluted earnings per share guidance range of $11.06 to $11.46 including updated $0.21 estimate an estimated benefit from ASU. For the full year, we believe new pool construction could decline closer to 20%, but still fall within our forecasted range. This includes the potential storm impact on pool construction in Florida where last year approximately 6,000 pools were built in the fourth quarter. Given the storm damage and repair activity, it is not likely we will see similar levels of new construction for the balance of 2024 in Florida. We would expect new pool construction and remodel activity for the balance of the markets to be in line with previous guidance for the remainder of the year. For the overall business, we believe maintenance and repair activity will be steady with the notable exception of Florida where it will be higher as storm damaged pools are repaired. Given the normal seasonality, maintenance will be less of a contributor in the fourth quarter in our remaining markets. Hurricane Francine and Helene in the third quarter and Milton in the fourth quarter created short term disruptions to our business. We sustained only minor damage to our facilities with operations restored quickly so that we could help our customers repair the damage ahead of the busy season in Florida. Looking ahead, we remain encouraged by several economic factors such as stable home values, record home equity levels, continuing sunbelt migration and a resilient consumer and gradual interest rate easing. We expect a healthy setup for the industry dynamics and favorable growth opportunities in correlation with the broader housing market stimulation in coming years. Swimming pools and outdoor living are still very desirable and no one is better positioned to capitalize on that now and in the future. Our industry is 20% to 25% bigger than in 2019. The past five years have been volatile compared to the industry history and with rapid growth followed by a period of lower discretionary spending, but we believe it is coming closer to normalization. Our network is the largest, most integrated in the industry allowing us to provide the greatest variety of products, serve as an extension of our customers' business and to cultivate our vendor partnerships providing what our customers need when they need it and bringing the latest product innovations to market. Our efforts to elevate our customer experience, help improve their business and operate with disciplined execution make us the best positioned to grow share in both periods of growth and normalization. We believe we are the clear market leader and we are getting stronger every day. Before I turn the call over to Melanie, I would be remiss if I did not once again thank our incredible team. Their knowledge, dedication and creativity and passion for the industry and customer experience are amazing and I could not be prouder to be part of such an extraordinary team. We'll now turn the call over to Melanie Hart, our Vice President and Chief Financial Officer for her detailed financial commentary. Melanie?
Melanie Hart: Thank you, Pete. Third quarter 2024 sales were $1.4 billion a 3% decrease compared to prior year as maintenance sales trends continued to see an improvement in year-over-year comparisons as the warm weather through the end of the season saw increased chemicals usage. The comparative trends are consistent with second quarter and an improvement over the year-to-date trend through the first half. The third quarter included an extra selling day compared to last year. Inflation provided a 1% benefit during the quarter as we saw a 2% pricing lift on equipment and other product sales that was offset by a 1% decline in chemicals and commodities. From a pricing standpoint, we noted no significant changes from second quarter. New pool construction and remodel activity combined negatively impacted total sales by 5% and Europe and Horizon sales declines together had a 1% adverse effect. No material sales impacts were noted from Hurricane Francine and Helene that occurred during the quarter. Gross margin for the quarter was 29.1%, the same as prior year third quarter and consistent with our typical seasonal gross margin pattern as we exit the peak selling season. Positive momentum in our supply chain actions including increased mix of private label chemical sales and higher vendor incentives compared to last year when we had lower purchasing levels were offset by a less favorable product and customer mix. Product sales mix was affected by lower levels of higher margin building material sales, while customer mix was more heavily weighted to larger customers who typically have special pricing and higher volume related discounts. We tightly managed operating expenses to 2% growth for the third quarter compared to last year, the lowest growth we expect to see for the year as we focus on controlling volume related expenses as we wind it down from peak selling season activities. Last year, third quarter expenses included approximately $2 million of costs associated with our annual sales conference that occurred in the fourth quarter of 2024. As a result, those expenses will impact Q4 this year adding to an increased expense expectation in Q4 compared to last year. During the quarter, we opened three new sales center locations for a total of nine year-to-date, which accounted for a 1% increase in the year-over-year expense. We continue to see progress on our technology investments with even more value-added features rolled out this quarter. Interest expense was $12.4 million down $1.2 million from Q3 2023, due primarily to lower outstanding borrowings during the quarter compared to last year. Operating income of $176 million was down $18 million or 9% with quarterly net income of $126 million also down 9%. Diluted earnings per share were $3.27 down 7% compared to $3.51 in the prior year quarter, reflecting reduced weighted average shares outstanding due to our share buyback activity year-to-date. As we turn to our balance sheet and cash flows, we noted that accounts receivable days outstanding of 26.7 days compared to 26.8 days from last quarter, continuing to reflect our excellent collection efforts as we work with our customers to support their business. Quarter end inventory totaled $1.2 billion, $79 million or 6% less than last year's third quarter, which reflected the completion of our stated inventory reduction efforts. We are continuing our focus on inventory efficiencies under more normal supply conditions resulting in our current inventory days on hand trending seven days lower than prior year, even with product cost inflation and inventory added for our new locations and acquisitions. We continue to be a strong cash generator as we reduced our total debt to $924 million, $110 million lower compared to last year, while repurchasing shares totaling $159 million year-to-date. We finished the quarter with a debt leverage ratio of 1.41, slightly below our target range of 1.5 to 2 times. During the quarter, we amended our credit facility increasing our borrowing capacity from $750 million to $800 million and extending the maturity date to September 2029. Our current debt leverage and increased borrowing arrangement provide significant capacity to continue funding our capital allocation priorities and strategic growth initiatives. Cash flow from operating activities of $489 million year-to-date reflects excellent working capital management as we have realized operating cash flow of 123% of net income through the third quarter. Prior year cash flow benefited from our stated inventory reduction goals, which we completed at the end of third quarter 2023, resulting in a higher year-to-date benefit from inventory reduction of $150 million in 2023 compared to 2024. As is typical part of our business, we will begin receiving inventory under our early buy purchase programs with our vendors in the fourth quarter, resulting in an expected increase in inventory from third quarter to fourth quarter. We also received a cash flow timing benefit in the third quarter for a deferral of quarterly estimated income tax payments for those impacted by Hurricane Francine. Tax payments that would have been paid September 15 are now due in February 2025. The fourth quarter December payment will also be delayed until first quarter of 2025. We have utilized $50 million on capital expenditures, including our nine new sales center locations opening to date. The two sales centers added through acquisitions have been fully integrated into the network. As noted above, we reduced outstanding debt, completed $159 million in total share buybacks year to date and still have $507 million remaining under our share repurchase authorization. As we wrap up 2024, we continue to expect similar top line trends in the fourth quarter as we have seen year-to-date. Sales will remain under pressure from a weak discretionary spending environment as our expectations for the full year still include 15% to 20% fewer new pools built versus 2023. As Pete mentioned, new pool builds could land on the lower end of that range given the restoration activity in Florida. Remodel activity may be down as much as 15% for the full year and will be labor and weather dependent in the fourth quarter. The extra day in the fourth quarter of 2024 is expected to have less than a 1% impact to net sales for the quarter and the full year impact of the 2 additional selling days will also be a less than 1% impact. For the full year, we expect inflation to reflect similar characteristics to what we have seen so far this year, providing an approximate 1% benefit overall with equipment and other product categories, contributing a positive 2% effect and chemical pricing offsetting this positive benefit by 1%. Chemical selling prices have remained stable since second quarter, but at current levels will continue to be a modest drag on the remainder of the year. New construction and remodel activities are expected to negatively impact sales approximately 5% collectively and lower levels of activity for Horizon Europe will affect total sales by about 1% for the year. For the fourth quarter, we should see gross margin similar to prior year fourth quarter gross margin. Having finished the swimming pool season, we would expect that full year gross margins will be similar to the year-to-date rate through third quarter. Any negative year-over-year impact from the higher levels of lower cost inventory on hand last year have been reflected in our first quarter 2024 gross margin comparison. Second quarter and third quarter provide more opportunities for focus on variable expenses during our peak selling period. In the much lower volume fourth quarter, the higher relative impact of fixed expenses such as rent and insurance, additional sales center opening costs this year versus last year and our technology investments combined with the sales conference expense timing shift in the fourth quarter, we would expect that the year-over-year expense increase for the fourth quarter to be closer to 5%. Combined with the year-to-date results so far, this will result in operating expenses for the full year in the range of a 4% to 5% increase year-over-year. Note that the 2024 expense growth includes approximately $12 million in investments in current year new locations and $20 million of spending to develop and implement our significantly expanded pool 360 water test, POOL360 service and enhanced POOL360 platform, these technology investments are expected to buy provide future sales and productivity gains. Interest expense for the full year is expected to be approximately $50 million. The annual tax rate will be around 25% excluding ASU Benefits. After consideration of the share buybacks completed in the third quarter, our estimated fully diluted weighted average shares outstanding for fourth quarter will be 38,300,000 shares 38,500,000 shares for the full year. We are confirming our 2024 diluted EPS range of $11.06 to $11.46 including the additional $0.01 of ASU benefit added in the third quarter and the $0.21 realized year-to-date. During this period of industry transition, our management team has committed extraordinary efforts to effectively manage our dynamic business during this period of weak discretionary spending and softness in new pool construction and remodel and renovation activity. We continue to strategically invest in our business with new locations, accelerated growth of our franchise store network, acquisitions and enhanced technology initiatives, improving both our customers' experience and our internal operating efficiency. We will finish 2024 strategically better than we started it, positioning us well for future growth. I will now turn the call over to the operator for our Q and A session.
Operator: [Operator Instructions]. Our first question today comes from Scott Schneeberger from Oppenheimer. Please go ahead with your question.
Scott Schneeberger: Thanks. Good morning. I guess, I want to start out, you guys elaborated a lot on the weather, but I wanted to follow-up there. Was there any impact specifically from the hurricanes in the third quarter, since they happened late in the third quarter, fourth quarter or is that more look ahead? And could that have a trickle through into -- I guess how would you think about it as trickle through impact to next year given what in particularly in Florida given what you've seen with permits? And then I'll come back with another. Thanks.
Peter Arvan: Thanks, Scott. So I guess here's what I would say. The hurricane happened, there was two back-to-back for Florida. They were late in the third quarter. So there was -- we were closed for a couple of days during the onset of the storm and we realized probably a little bit of a pickup immediately after that, but the two from my perspective, the two really kind of cancel each other out. So I can't say that it provided any real benefit in the third quarter. In the fourth quarter, we had another storm hit. It will be a similar scenario. We are closed for a couple of days as the employees took shelter and we're protecting their homes and families and then, we, as I mentioned, sustained relatively little damage. I think the net effect on the business is going to be that there will be an uptick in demand for maintenance and repair and that will come in a couple of waves in my opinion. The initial wave, I would describe more as a triage, which is the most important thing of a pool that has been damaged from a storm is to get it clean, get the water balanced and get the water moving again. Now depending on the nature of the flooding that could have impacted heaters, it could have impacted automation, heat pumps and such and lights that will probably be repaired later, because I think the dealers are so busy right now just trying to get water circulating. So I think we've seen an initial -- and are experiencing an initial lift now on maintenance and repair. I think there'll be another one that comes when they go back and say, okay, now I'll come back and fix the non-critical components. At the same time, we're going to have headwind in the fourth quarter, I believe, on new construction that I think will create some tailwinds on Florida new construction in the first quarter of next year.
Scott Schneeberger: Thanks. Appreciate that clarification and color, Pete. Melanie, on inventories, certainly from two years ago and then down from last year and I think you said where we've completed the reduction efforts. I'm just kind of curious as you -- are you happy where you are? Is there a little bit more and how are you thinking about the pre-buy season particularly with regard to pricing given where we are in the market? Thanks.
Melanie Hart: Yes. So we are happy with where we are from a current inventory level, certainly acknowledging that our inventory declines year-over-year are down more than sales and so we look at that as gained efficiency and prudent management on our working capital and so we continue to work on that path. We've developed many new processes that allow us to better utilize our inventory throughout the network and so our quest for continued efficiency there won't end, but with that, we don't have any major reduction goals as we had just coming out of the higher levels of inventory that we were carrying with the supply chain disruption. As it relates to pre-buy, the preliminary increases that we've seen from some of the equipment vendors are in the 2% to 3% range for next year. So we would plan to participate those in that as we normally would, where we would be bringing on inventory that we would sell really prior from a prior to the time that we would owe those payments from those early buys. So we would cover really kind of the early portion of the year prior to having to make those payments to the vendors.
Scott Schneeberger: Thanks. I'll turn it over.
Operator: Our next question comes from Ryan Merkel from William Blair. Please go ahead with your question.
Ryan Merkel: Hi, everyone. Thanks for taking the question. I wanted to follow-up on the last question. I'm curious, what are you seeing from the OEMs on equipment pricing for 2025 at this point?
Peter Arvan: Yes. Good morning, Ryan. I would tell you that the, as Melanie mentioned, it's in the 2% to 3% range. Some items are a little bit more, some items are a little bit less, but we think about it in terms of 2% to 3%. We expect that will flow through the channel just like normal. So I don't really see much different at this point.
Ryan Merkel: Got it. Okay. And then a question on gross margin. You're guiding to approximately 30% this year. So how should we think about the fourth quarter? I think typically it's up seasonally, but just calibrate us if there's anything to think about.
Melanie Hart: Yes. So our fourth quarter margin outlook is that it will be similar to last year, which would be up from where we are in third quarter. When we look at kind of the long-term guidance on gross margins, the 30% is the full-year margin and as you know, we typically see that very seasonally throughout the full year with second quarter being the highest level. When you think about this year's third quarter and fourth quarter margins, this is actually really, I would say, our first opportunity for normalized margins. Thinking back outside of the higher levels of inflation and the some of the supply chain disruptions. So if you go back and you look at our 2020 and our 2019 margins for third quarter to fourth quarter, we are substantially ahead of where we were in both of those periods. So kind of a normalized look and where we started our 29% to 30% bridge that we've talked about on how we've gotten to our 30% long-term margin outlook. So definitely well ahead of where we have been historically for all the supply chain things that we've discussed and so when you think about, no, we're not at 30% for a third quarter, it won't be for fourth quarter because of the seasonality and then the other thing is I would mention for the full year gross margin, we would be where we are kind of year-to-date because there's just not a lot of impact in fourth quarter from a seasonal standpoint because it's our smallest quarter, but the 30% gross margin is really in alignment with our long term guide, which does have built into that the sales growth and the operating efficiency leveraged and so the things that are impacting this year that are kind of outside of that normal top line algorithm is also impacting the margins, but with that being said, we're very proud of it's a step ahead that we are from this historical level.
Peter Arvan: Hey, Ryan, let me add one other comment to that. So when we look at gross margins, as Melanie said, when we look at it, we're actually pretty happy with where we are. When you consider the impact of the reduction in new pool construction and renovation and remodel. I mean, that is a significant driver of the enhanced gross margin and with new pool construction being well below where we thought we would be for this time period, I think our performance on gross margin is reflective of the team's effort and some wisely placed bets and investments that are helping us to improve gross margin. So the comment on long term gross margins being in the 30% range when we when you consider the impact of renovation and remodel and new pool construction, I'm actually pretty happy with the team's work and what we've been able to accomplish.
Ryan Merkel: That's really helpful. Thanks for that. I'll pass it on.
Operator: Our next question comes from Susan Maklari from Goldman Sachs. Please go ahead with your question.
Susan Maklari: Thank you. Good morning, everyone. My first question is on demand. You had some positive comments as it relates to the trends that you saw in Florida and Arizona during the quarter, which is in contrast to what we're hearing more generally, I would say about the consumer, especially as it relates to some of the bigger ticket discretionary projects. Can you talk a little bit more about what drove those trends and how you're thinking about what that could suggest as we look out?
Peter Arvan: Yes. I think it's a couple of things specifically in those areas and even frankly more broadly. Number one, I would say that the things that we had been focused on for the last several years, our strategic priorities are helping us gain share. So we are encouraged by the level of growth that we saw in Arizona and Florida. Those were very nice to see especially knowing how hard the teams have been working in a very, very tough and very competitive market. So I think it's a function of a couple of things. It's a function of the markets are becoming more normalized number one. Number two, I think the investments that we have made to improve our customer experience and ultimately our value proposition, our efficiency, our customers' efficiency are garnering us favor with the customers and for the business that is out there, I think we continue to take a disproportionate share of that and continue to build upon that.
Susan Maklari: Okay. That's helpful. And then the other thing that you noted is the progress that you're seeing on the POOL360 initiatives there. Can you just give some more color on how that's coming together, any feedback you got from the roadshow that you did? And how we should think about the further lift in sales going forward?
Peter Arvan: Sure. It's a remember when we debuted this, it's a complete ecosystem, right? So we built upon, POOL360, right? So we built upon, POOL360 was which was just our B2B system. We completely rebuilt that and then we looked forward and said, okay, what can we do to create value for our customers, improve their experience, hopefully improve their business, help them and help them grow. So we invested in a couple of different areas. The first one was the POOL360 water test, which goes hand in hand with our private brands on pool chemicals primarily are Regal, E-Z Clor and Life for the spa business. So the software is primarily the is developed for the retail store that stocks our chemicals. It helps prescribe. It helps provide a uniform prescription for the water when homeowners bring their water in to test to figure out what they need for the pool. The reception that we've gotten on that has been very good. As you can imagine, it's a for a retail store chemical your chemical line is really a very big decision that they make because it's associated with their brand and in many cases, the dealers have been carrying specific brands for many, many years. So changes of that nature are not taken lightly. So as we rolled it out, we knew that it was going to be a slow adoption. We wanted to make sure that we were more right than fast. The feedback that we have gotten from the dealers has been consistently very, very good. We think that we'll continue to expand that. We've got lots of upside to continue to add dealers to that, but we're very proud of where we are today and the feedback that we are getting and the feedback on the roadshow was in line with that. If I look at POOL360 service, which has a much broader application if you will because that is something that all of our dealers can use, not all of our dealers as you know have a retail store, but almost all of our dealers and certainly the largest group of customers that we have are pool service companies. That tool was specifically designed for them to create efficiencies on their side to professionalize their business to create a tie with and improve efficiencies with how they procure material and also to help them grow their business by being able to tap into our edge marketing -- digital marketing programs. So again, that too is going well, but as you know we're in a seasonal business. So the selling season, we're really just beginning the selling season. So we rolled that tool out right at the end of the selling season for 2024 and then once you're into the season, that's not something that most companies are going to embark on. So we've got a nice backlog of customers that have seen the tool and that are interested and that we're in the process of onboarding, but again, we are trying to be good or great I should say as opposed to being fast. So we are extending kind of hyper care to those new customers and again the feedback for the customers that are using it is really good and I know that the people that will use it that will see the benefits that we talk about and more importantly it will allow them to tap into our digital marketing programs, which will allow them to grow their business as well as gain the operating efficiencies.
Susan Maklari: Okay. That's great color. Thank you, Pete. Good luck with everything.
Operator: Our next question comes from David Manthey from Baird. Please go ahead with your question. Yes.
David Manthey: Thank you. Good morning, everyone. First off, Pete, historically your long-term growth algorithm was for 6% to 9% that's inflation 1% to 2% installed base growth 1% to 2%, new pools 1% to 2%, giving you 4% to 6% industry growth and then pool outgrowing that by 2% to 3%, I guess acquisition 0% to 1%. And with all of those puzzle pieces when you think about the next five years, any reason to believe there'd be a change to that formula or do you want to tweak any of those variables at all?
Peter Arvan: No, Dave, I don't think so. The one thing I would tell you is the 1% from acquisitions, which was a much easier number when we were a smaller business is going to become harder. There aren't a lot of acquisitions out there that can get us 1%. So most of the growth that we will get will come from share gain, the installed base growing, new products, so inflation and such. So when I look at our long-term model, it's predicated upon one, we need to return to a normal cycle on new pool construction. We need to return to the normal cycle on renovation remodel, which I believe both of those things are going to happen. I believe we've invested prudently in our business to provide additional value to our customers, which will allow us to continue to grow share and to continue to drive operational efficiencies for both us and for our customers, which should help us from a share gain perspective. I don't see any major changes in the pricing algorithm for how the industry operates and the installed base continues to grow. This year it's going to be closer to 1% net growth, but when we get back to a normal cadence on new construction, we'll be back closer to the 1.5% to 2% growth from installed base. So, long term, I think those are very much intact. The only caution I would give you is on the acquisition front.
David Manthey: Yes, fair enough. Thank you for that color and second, the value of new pools, if we look five years before COVID, a new pool is running $40,000 to $50,000 and then during COVID kind of $21,000 to $23,000 it was $55,000 to $65,000 moving up and back in February, you said that the average was looking closer to $80,000 at the time. I'm just wondering has there been this year or do you expect in $25,000 or $26,000 any retrenchment at all in that average price, whether that's component prices coming down, content, mix, I mean anything or does that number just continue to stair step higher do you think?
Peter Arvan: I think there's a couple of things that could drive that. One is, obviously the biggest component of new pool construction cost is labor. I don't really see a change in labor cost because of the inherent inflation that's been driven through the entire economy and I don't really see wages dropping anytime in the near future and we're at essentially nearing full employment. So it's not like there, that there's a lot of people that are looking for work that would that could potentially drive down wages. I don't think that is the case certainly for this type of work. I think inflation on the or the inflation or the cost of materials is also I think, pretty sticky. If not, I don't see any of the major components coming down much. I mean, you might see on commodities, you might see some deflation or inflation on steel or PVC, but those are relatively small in terms of the total cost of the pool. You mentioned the features. What I would tell you is today our new pool construction we believe is going to be off in that 15% to 20% range, which brings us to a number that we haven't seen in many, many years. A component of the $80,000 pool cost is the mix and that we're seeing higher end pools being built versus lower end pools. So if just logically speaking, if new pool construction returns to a normal cadence, you're going to have more entry level to mid-level pools, which could mix down the total cost -- or the average cost if you will, but that's simply a function of more overall mix than defeaturing.
David Manthey: That's great color. Thank you very much.
Operator: Our next question comes from David MacGregor from Longbow Research. Please go ahead with your question.
David MacGregor: Yes. Good morning and thanks for taking my questions. I wanted to ask you about the private label offering and you've talked about leveraging that line with the investments in POOL360. Could you just talk about any plans or your thoughts longer term about expanding that private label offering? And also while we're on it, how do the margins on that line stand up in this kind of environment? Are you seeing some narrowing in contribution? Or are they getting better? Any kind of color around that would be helpful.
Peter Arvan: Sure. Good morning, David. Good question. I would tell you that the private label for us is a very important part of our go forward strategy, but we're very focused in a few areas. So for instance, the largest product category that we have as a company is which comprises 30% to 35% of our business is going to be equipment. So I don't see us getting into the equipment game from a private label perspective. With the acquisition of Pinch A Penny, we acquired a world class chemical packaging facility, which has allowed us to essentially refresh our brands. I mean for the longest time we had proprietary brands. We had Regal and E-Z Clor and Life for our chemical lines, but frankly they weren't complete and they were a bit outdated. So with the acquisition of Pinch A Penny and the knowledge that we acquired on the chemical side, we were able to refresh those brands and we're leaning heavily into those. They have been refreshed. They have been rebranded. They look great. We have a complete line and frankly they are as good as or better than any other products in the market and we think that that will continue to allow us to gain share in that space, because when you think about brands on chemicals, it's much more important on the retail side than it is on the service side. On the service side, they're buying essentially product in a bucket as long as it works. Brand is really not a big part of that. Price is a bigger component of it. Availability is a component of it. Being in the right location is a component of it. All of those boxes we have historically checked very well. Where we were weaker was on the retail side and there are thousands of independent retail stores that are selling pool chemicals every day that we now can compete head-to-head with the best and the biggest in the industry, which provide us a nice opportunity to continue to grow. There's also some maintenance products whether you're talking about cartridge filters or just tools right for the PoolPro which is nets, poles, brushes and such which are a big portion of the industry that and some parts where again our work on the servicing side and product management side has allowed us to refresh those brands and bring something to market that is complete, that is unique, great product that we think provides an opportunity for us to grow and continue to take a bit more share, leveraging our footprint. So we have almost in total almost 450 locations. From a transaction count alone through August, we had over 5 million face-to-face transactions with customers in our branches, which provides an enormous opportunity when you have a very good curated product line to help grow our business and enhance the customer's business at the same time. So we tend to lean into that very heavily because we see that as a very rich opportunity for us going forward and then certainly on the margin side, when you're talking about our brands, the margins are accretive. They're better than when we're selling other products. So that too is a win for the business. So when you combine the enhanced marketing programs, the real focus that we've had on product management and product development, if you will, on the chemical side and tools and maintenance, and then you look at that across 5 million plus transactions and that was only through August, it provides a nice opportunity for us to grow for many years to come.
David MacGregor: Got it. Yes, a lot of potential there. I guess as a follow-up question, just with respect to the $20 million of technology spending this year, I guess it's early to think about 2025, but just your preliminary thoughts on directionally where that level of spending goes. Are we going to a more aggressive spend on technology next year?
Peter Arvan: Yes. I don't think it's going to be much different, right, because we did a bunch of work this year that we won't have to do next year. When you're in the technology business and I believe we're in the technology business now, it's never done. So we have to continue to invest to keep our tools current and value accretive to our customers and to us. So I look at the spend as a given our size and scale frankly it's not a lot of money and I would tell you that early and it's early we obviously haven't settled on our 2025 budgets yet, but I don't see any major change in that number.
David MacGregor: Got it. Thanks very much and good luck.
Operator: Our next question comes from Chirag Patel from Jefferies. Please go ahead with your question.
Chirag Patel: Thanks. Just wanted to kind of cover the competitive landscape that you're seeing currently, specifically just the actions from SRS, if there's any sort of an impact in your business and it's still early days just trying to get a sense for how that kind of lays out as we go forward?
Peter Arvan: Yes, thank you. I would tell you nothing really new to report on that side Hasn't been we haven't experienced really any changes from what we've seen in the past. The industry obviously is more competitive now because the industry is smaller than it would be with a normal new pool construction and remodel and renovation market. So, you have to be on top of your game in terms of value. We never sell on price, right? So, we're not the price leaders, never intend to be the price leaders. We sell on value and providing the best customer experience. Some of our competitors, the only way that they can compete with us on price is on price. Nothing new in that regard. We expect that to continue, but it's nothing that we haven't seen before. It will ebb and flow with demand. As demand in the industry improves then I would say competitive pressures will probably abate some. If the industry stays contracted then I would expect competitive pressures to continue to be robust.
Chirag Patel: Thank you. I appreciate that.
Operator: Our next question comes from Andrew Carter from Stifel. Please go ahead with your question.
Andrew Carter: Hey, thank you. Good morning. I guess the first question I wanted to ask is about chemicals, kind of comprehensive question. Number one, it's been kind of volatile the past couple of years, price skirmishes or whatnot. Where do you see kind of the pricing now going into next year? Do you see any giveback from your manufacturers? And then a second question on your chemical supply chain. There was obviously the plant fire in Atlanta, I believe at BioLab facility. There's a storage. I don't imagine it's not much disruption. You haven't called it out, but could you speak to kind of how your chemical supply chain or procurement is different now than four years ago? Are you do you have just as much risk around 1 supplier or are you much more diversified? Thanks.
Peter Arvan: Yes. Thank you, Andrew. Good morning. Our chemical supply chain is much more diverse than it was, for a couple of reasons. Number one, we have our own packaging facility today that we didn't have that procures product from multiple sources. So from a surety supply perspective, we're in a much better position than we were a few years ago. Your first question first part of the question had to do with pricing. I would tell you that, as I mentioned in my comments, overall chemical pricing now there are some up, there are some down, but by and large chemical pricing is fairly stable and I don't think that at this point I see any major changes in that. As far as the disruption from the fire in Georgia, it really has no impact on us and at this point, I would tell you I think there's limited to no impact on the industry, so no major changes.
Andrew Carter: And then a second question kind of thinking about new construction. I know that we're kind of we're at 59,000 units kind of in the year. I think that's where your guidance is. Going into next year, I know you need that piece of the business to grow kind of high single digits to hit your long-term algorithm. Do you need rates to come down and see some easing in these next couple of months for consumers to make that decision next summer? Or could it be a longer lag in rate improvements or whatever? Or just any kind of early indications of how you look at that market next year? No capital costs are still high, pool costs are still high, but anything to help on that side would be helpful. Thanks.
Peter Arvan: Sure, Andrew. So here's what we're hearing from our dealers. Our dealers are telling us the phones are ringing, people want pools, their people are asking for budgetary pricing. In some cases where they've had pricing from the past, they're refreshing that pricing because there's still the underlying demand they still want the swimming pool. So I would tell you that the overall demand environment is still cautious, but there still is demand. If you go back to kind of pre-COVID days, you're talking about an 80,000 pools new build market and we're down we're going to be 55,000 to 60,000 pools this year, which is obviously much lower than it was during the peak, but the in order for the return to I would call normal to happen, the housing market is going to have to loosen up a little bit and that's not going to happen I think until there's a little more movement on the rate side. So I think that the Fed's attempt with the first rate cut is good. I think it's going to take more than that, but again from our perspective the thing that's very encouraging is home values are still very strong and home equity levels have never been higher. So people have the ability to borrow. I think it's a combination of just the overall economic conditions in the country right now that are causing people specifically at the lower and mid end that would want a pool to say, I probably need to wait a little bit more to make sure that there isn't a relapse on the inflation side and our overall cost of living is going to increase. I think they've seen we all accepted and had to absorb significant pricing for consumable goods if you will and I think overtime wages are catching up. I think that if the Fed continues to loosen the monetary policy and we get the housing market moving, then I would tell you that the first thing we would probably see is renovation and remodel would be the one of the first things we see pick up followed by new pool construction.
Andrew Carter: Thanks. I'll pass it on. Thanks.
Operator: Our next question comes from Trey Grooms from Stephens. Please go ahead with your question.
Trey Grooms: Yes. Good morning, everyone. Sorry, my line dropped off during the middle of the Q&A. So please forgive me if you've touched on any of this. But, Melanie, you reiterated the EPS range, $11.06 to $11.46. We're mostly through the or pretty well through the pool season, as you mentioned. We're making our way through most of October, which I assume is typically the strongest month in the 4Q. So, and you gave some pretty good color on some of the line items here, but I guess the question is what could really kind of get us into either the low end or high end of this range, just especially given where we are in the year? Thanks.
Melanie Hart: Yes. So the fluctuations in the fourth quarter are going to certainly weather has impacted how long pools within the seasonal market stay open. So whether or not that will kind of extend into the back half of the fourth quarter. The other thing is going to be the rate of the new pool construction. So depending upon how much and how many of those pools that were actually impacted significantly in Florida and then kind of the converse to that is going to be the labor market in Florida as it relates to some of that new construction. So, when I look at it to kind of the low end, we're going to be certainly on the low end of we couldn't be on the low end if that new construction number moves down lower. We will make up some of that from the repair market in Florida, but it's not at the same kind of dollar increment as the building that we would see within that timeframe and then also the speed of recovery could impact us toward kind of just new to the higher end.
Trey Grooms: Okay, got it. That's helpful. And then as a follow-up and this is kind of getting maybe into cutting hairs here just a little bit or splitting hairs, but prior guide for inflation and pricing was 2% to 3%. I think it was 1% headwind on the commodity and then 1% to 2% overall. That was the prior guide and now it's 2% with that same kind of 1% headwind on the commodity, but overall is now 1% versus the 1% to 2%. Again, I know it's a small change, but anything to note there on maybe what maybe drove that slight change in the inflation kind of guide here for the year?
Melanie Hart: Yes, nothing significant. The pickup in the chemical volumes impacted that slightly. Also some of the building material components were captured in that commodity level, so that's impacting it and then really just the mix of products overall.
Peter Arvan: And just so many factors that -- there's just a lot of factors involved in trying to pin that down and as Melanie said, mix is going to be the biggest thing that business from inflation.
Trey Grooms: Yes, got it. That makes sense to me. Thanks a lot. I'll pass it on.
Operator: Our next question comes from Garik Shmois from Loop Capital. Please go ahead with your question.
Garik Shmois: Hi. Thanks for having me. I wanted to ask about some of the smaller end markets here. Just first off on commercial, I think it was up 7% in the quarter, down from up 16% in 2Q, still nicely positive, but just wondering if you could speak to maybe the deceleration in growth and maybe some broader trends on the commercial side considering it's been an area of focus for you?
Peter Arvan: Yes. I wouldn't read too much into that. What I would say on commercial is the function of two things. There's kind of maintenance and repair and there's projects. So projects in the commercial arena as you can imagine are very large. So if a lot of it is timing. So it's when the large projects hit and when they invoice and then when we look further out, we're looking at what does the backlog look like for commercial work and then there's a function of it's a focus area for us. So we continue to gain share in that area by investing in value creating things for our customers. So, I wouldn't read too much into the 7% versus 16%, because I believe when I looked at that that it's mostly project driven and when projects actually invoice and also just for to contextualize it, just remember it's still a pretty small portion of the business in total. It's encouraging that there's certainly more opportunity there than there is on the residential building side in terms of investments in new construction large projects, but it's also relatively small. So you kind of have to dimensionalize it too.
Garik Shmois: Yes, of course. And then I guess just secondly just on the retail part of the business again, I apologize for focusing on some of the smaller end markets here at the end of the call, but Pinch A Penny sales, I think were flat in Q3, maybe a little bit softer than rate of growth than the last quarter. But retail, your sales into retail actually improved sequentially. So anything to glean out of those kind of diverting trends?
Peter Arvan: No, I think that the overall consumer, so think about what a retail store is going to sell. Retail stores are going to sell things like chemicals which are nondiscretionary. That part of the business from a retail perspective has been good, but things like robotic cleaners, right, are and toys and games and such tend to be much more discretionary and where we have seen some headwinds this year on the retail side, the biggest area from a headwind perspective is on the cleaner side. So you don't have to have a cleaner, but most pools do. I don't have to have a robotic cleaner. It just happens to be the best cleaner in the market, but the downside is they're quite expensive. So if you have a consumer that is struggling with cash flow and the idea of plunking down $1,000 or $700 or $1500 for a high-end robotic cleaner, which is a more of a luxury than a necessity, it's going to impact the retail buyer more than it would during normal times. So I think the retail business is good. I think we continue to take share. I love our value proposition for the independent retailer. I love the Pinch A Penny value proposition, but we're also going to have to deal with the health of the consumer too and the more discretionary items are going to come under more pressure.
Garik Shmois: Understood. Thanks for the color.
Operator: Our next question comes from Sam Reid from Wells Fargo. Please go ahead with your question.
Sam Reid: Awesome. Thanks so much. So I wanted to ask a follow-up question on your algorithm, but this time approach it from a more near-term perspective. So it sounds like acquisitions will be less of a tailwind and then you've obviously got fewer new pools entering the base, from 2024 into 2025. So just want to maybe contextualize those two dynamics plus anything else that you think might be relevant for 2025 in the context of your 6% to 9% all go?
Peter Arvan: I would say and I'll let Melanie chime in if I missed something. I would say on the new pool construction, I would -- and again we haven't called 2025 numbers. So it's very hard for me to and in fact I can't really speculate on what 2025 is because we don't have enough information, but certainly for our long term algorithm to be back and reflective of what is actually happening, we're going to have to see a return to more normal new pool construction and it's just frankly it's just too soon for me to tell you what I think the 2025 new pool construction season is going to be. The acquisition, I'm pretty comfortable with what I said on that in terms of I don't think yet given our size that when I look at our acquisition pipeline which we certainly have things in the pipeline just none of them are big enough to really move the needle consistently at that 1% range over time.
Melanie Hart: Yes. So specific to the portion of the growth algorithm that relates to the new construction, being where we're going to kind of finish out the year, we're very far from normal. So if we finish this year 55,000 to 60,000 new pools, pre-COVID we were around the 80,000 range. The growth that could be made up in order to get us there would be slightly ahead of the 1 to 2 that's in that current long-term algorithm.
Sam Reid: No, that's helpful, and then maybe switching gears and touching on Q4. So I wanted to get a sense for the sales number that you're seeing quarter-to-date this go around, September or in October specifically. I want to say the guidance implies something closer to down 5% for the fourth quarter. Are you tracking at those levels quarter to date, above those levels below? Just want to get a sense for that as we head into year end.
Peter Arvan: Yes. As you can imagine, October is a more critical month of the quarter, and October is tracking above the minus 5 that you cited, so that we're seeing strong demand in Florida right now as their renovation and remodel -- I'm sorry as their repair work goes on. The offset is that what we're not sure of is the impact on new pool construction for the remainder of the quarter. So October is good and I don't I think the rest as I look around the country, I think we're performing well there, but it's the biggest wildcard for us in the fourth quarter is going to be the what is going to be the impact on fewer pools that we think will get built in Florida in the fourth quarter and how much of that can be made up for by the repair work. Now the weather in October so far has been pretty good, so that's favorable as well.
Sam Reid: That's very helpful. Thanks so much.
Operator: Our final question comes from Sean Keenan from Bank of America. Please go ahead with your question.
Sean Keenan: Hi, guys. Thanks for taking my question. I just had a couple on the gross margin bridge on Slide 6. So it looks like you guys had 100 basis point improvement from supply chain benefit. Can you just talk about whether you expect that to continue to improve or is this kind of a normalized level? And then on the customer mix, is that something that you expect to reverse over time? Are we at like a more normalized customer mix after having a bunch of smaller customers during COVID?
Melanie Hart: Yes. So as far as the 100 basis points we specifically included on that bridge, it is more conceptual versus quantitative. So I wouldn't equate that to 100 basis points from an improvement standpoint, but to answer your question as it relates to the supply chain benefits, we do continue to expect to see the benefit related to the private label, our pricing initiatives, our CSL initiatives that we have had in place over the last several years that have kind of taken us through this volatile period, that that will continue going forward and we have further actions that we intend to take as it relates to that. Specifically to your question on the customer, we have seen in this market where there's fewer pools to be built that our larger customers are winning more of those jobs and so that is putting some pressure on our margins from a pricing standpoint because we do have our customer rebate programs with those larger customers. When more pools start getting built and we get back up to that more normalized 80,000 pool level, that will allow for smaller pool builders to come back into the market. And so that will put some more balance into our gross margins.
Sean Keenan: Got it. Thanks. And then the other one I had was just, so it looks like you guys were in line or beat consensus on sales this quarter, but the gross margin came in lower than at least us on the sell side we're projecting. What do you think kind of drove that? Did you see any increased pricing competition? Or is it just a difference between what we were expecting and you were expecting on the gross margin?
Melanie Hart: Yes. When you look back at our commentary as it relates to second quarter, we did at that point in time project that the margin for both the third quarter and fourth quarter would be similar to last year and so we haven't made any changes to that expectation.
Sean Keenan: Okay. Thank you.
Operator: Ladies and gentlemen, with that, we'll be concluding today's question and answer session. I'd like to turn the floor back over to Peter Arvan, our President and CEO for closing remarks.
Peter Arvan: Thank you all for joining us today. We look forward to reporting our full year and fourth quarter results and initiating our guidance for 2025 on February 20, 2025. Until then, I hope you all take some time to enjoy the holiday season and have a happy and healthy New Year. Thanks for your support.
Operator: [Operator Closing Remarks].